Operator: Good morning, everyone, and welcome to the National Bank Holdings Corporation 2021 First Quarter Earnings Call. My name is Mariama, and I will be your conference operator for today.  As a reminder, this conference is being recorded for replay purposes. I would like to remind you that this conference call will contain forward-looking statements, including, but not limited to, statements regarding the company's strategy, loans, deposits, capital, net interest income, noninterest income, margins, allowance, taxes, and noninterest expense. Actual results could differ materially from those discussed today. These forward-looking statements are subject to risks, uncertainties, and other factors, which are disclosed in more detail in the company's most recent filings with the U.S. Securities and Exchange Commission. These statements speak only as of the date of this call and National Bank Holdings Corporation undertakes no obligation to update or revise these statements.
Tim Laney: Thank you, Mariama. Good morning and thank you for joining National Bank Holdings First Quarter 2021 Earnings Call. I'm joined by our Chief Financial Officer, Aldis Birkans. I'm pleased to report quarterly earnings of $0.86 per diluted share and a return of 15.2% on tangible equity. This is particularly noteworthy given our substantial capital position. Credit quality is exceptionally strong with charge-offs at a record low of only one basis point annualized of total loans. Our Pay Check Protection program has been well-managed and has not represented a distraction as we turned our attention to new market share growth. In fact, I am very pleased with what I'm seeing in the pipeline for second quarter with regard to new business development. All this is going to speak to our strong liquidity position, so I'll simply point out that beyond benefiting from stimulus-related account balance increases, we remain very focused on growing new client relationships. And on that note, Aldis, I'll turn the meeting over to you.
Aldis Birkans: Thanks, Tim, and good morning, everyone. In my remarks, I will present the results for this quarter's financial performance as well as give an update on our guidance for the rest of 2021. For the first quarter, NBH turned net income of $26.8 million or $0.86 of earnings per diluted share, and our return on average tangible assets remained strong at 1.65%. Our strategically built diverse revenue stream, expense control, and excellent credit trends this quarter resulted in solid shareholder returns with a return on average tangible equity of 15.2%. As we have discussed throughout the pandemic, we had taken a very careful approach with regard to credit management and new loan originations. And what we started this quarter with a similar posture, the speed of the COVID vaccination rollout combined with the economic recovery on our footprint have allowed us to begin rebuilding our commercial and small business pipelines. For the first quarter, total loan fundings were $294 million, of which $173 million were non-PPP loans. Furthermore, we finished the quarter on a strong note with March representing the second highest non-PPP loan funding month in the past 12 months. The loans outstanding this quarter decreased $50.5 million. But as I previously mentioned, we are gaining momentum, and we expect to deliver solid organic loan growth in the second quarter.
Tim Laney: Thank you, Aldis. Look, I believe we're well positioned to deliver excellent results here in 2021. We have strong teams in great markets. We've built a fortress balance sheet, and we're well prepared to support both organic and acquisition-related growth. We continue to focus on delivering attractive total shareholder returns while maintaining the safety and soundness of our company. And Mariama, on that note, I'd like to open up the call for questions.
Operator:  Your first question comes from Levi Posen with D.A. Davidson. Your line is open.
Levi Posen: Hi. Good morning, Tim and good morning, Aldis.
Aldis Birkans: Good morning.
Levi Posen: I hear the loan growth outlook going forward is optimistic. But in trying to place attribution on this quarter's one-off, what of that is market demand versus caution on the lending side?
Tim Laney: Well, as you can imagine, we -- the market -- we believe the market is there. In fact, we benefit -- we know the market's there. We benefit from operating in markets that have largely opened up at this point. The reality is we were holding both feet on the brakes as we entered the first quarter of this year. We actually, as we started to see and get comfortable with the balance sheets of companies coming out of calendar year in 2020, we made the decision to lift those -- our feet off the brakes, and our teams are back in the markets. And in fact, if you dissected the first quarter, we saw a very nice ramp-up. Aldis can speak to it in detail, but we saw a very nice ramp-up in March. And what I'm excited about is the pipeline, the A pipeline, as we refer to it, of new business here in the second quarter.
Levi Posen: Understood. Okay. Thank you. And as you assess your footprint, would you say we're in the later innings of branch closures and maybe that mark -- does that have the potential to shift if M&A comes into play?
Tim Laney: Look, it certainly will always be a consideration in the M&A, where we're talking about what we naturally focus on, which is acquisitions in our existing footprint. So that's a certainty. What I would tell you is, as we go forward on banking center consolidation, and we've really moved out of the closure business now. We think about it as either consolidating into other reasonably convenient locations. And frankly, the biggest driver is watching the continued transition to digital. And as we expand our digital capabilities working through acquisitions or partnerships in the digital arena, I think we've got to keep an open mind to how we serve our client base in that regard. A lot of it is going to be driven by what -- how they want to bank as we go forward.
Levi Posen: Okay. And just one more for me. With some of the fee income guide going up here and the loan growth outlook being attractive going forward. What are your most recent thoughts on the buyback?
Tim Laney: It's all about target pricing where we think we can create really solid value for all of us who are shareholders. And so, we have a, price and should the markets lose confidence in financials and should we see our price hit that point, we're going to be a buyer.
Levi Posen: Okay.
Aldis Birkans: As a reminder, we do have $75 million of Board authorized repurchase program in place. So, we are standing by should the opportunity present itself.
Levi Posen: Great. Thank you. I'll step back now.
Aldis Birkans: Great questions, thank you.
Operator: Your next question comes from Andrew Liesch with Piper Sandler. Your line is open.
Andrew Liesch: Good morning guys.
Aldis Birkans: Hi. Good morning.
Andrew Liesch: Hi. Nice to hear the optimism surrounding the loan growth, I'll get to that in a second. So, just clarification on the fee income guidance of $40 million to $42 million, If I look at this quarter and take out the mortgage and non-recurring gain, that's about $9.4 million. So run rate, a little below your guidance range. Beyond bank currencies, where else do you have optimism that you will see fee income increase?
Aldis Birkans: Yeah. No, the -- our treasury management service charge is clearly a big focus for us. As Tim mentioned, business banking for small business is acquiring relationships and building on that. So that's a big driver behind there. The one that is somewhat unknown. And then, as a drag, if you look at it on a year-over-year basis, is  fees about 33%, 35% lower than last year. So that's the one that's harder to put your finger on how that will evolve. But the -- really, the treasury management business is what's driving the other service charges.
Andrew Liesch: Got it.
Tim Laney: And all this on saying that I will, Andrew, the reality is, we're always going to, slightly under promise and overdelivering all of the categories. So, I think it's comfortable that it even works back to some of the other categories that we have a long history of over performing and what we layout.
Andrew Liesch: Got it. That's helpful. So, moving back to loan growth seems pretty optimistic there. You guided for liquidity to remain elevated or cash level to remain elevated as you hold on to that until loan growth comes back on the balance sheet. So then, how should we roll that together and think about the margin, maybe more PPP fees get recognized this quarter? And do you think it's reached a low point at the 3.2%?
Aldis Birkans: Yeah. It's hard to put a finger on the percentage calculation given the excess liquidity. So, the way we look at it really is taking net interest income and looking at the components, what's driving that, right? And if you -- the other component on that, that we would -- I would back out is the PPP, right? Then we identified there's $6.2 million of unamortized PPP fees that will come through our margin at some point depending on the forgiveness speed. But if you back out the $2.6 million, it'd be close to $44 million net interest income. And we look -- the loan growth returning, that will grow from here and out.
Andrew Liesch: Got it.
Tim Laney: It's so basic to what we do. But sitting on this low-cost liquidity with growing optimism of being able to deploy a lot of that liquidity into loans for our clients. Small and midsized businesses, supported by the large capital base we have. We're very excited about that math. And I will point out since Aldis mentioned that with regard to PPP, if you look at our stats on PPP 1, Phase 1, we're just at 98% of those loans having been submitted to the SBA for forgiveness with about 94% of those loans already having been paid. It's remarkable, of course, our mindset with these programs going in was the faster we could help our clients receive forgiveness, the better the yield on those programs would be. But equally important, it was about moving that administration off of our team so that we could focus get -- return our focus to new business development, taking care of existing clients, of course, but taking market share because we're frankly very excited about some of the disruption that occurred over the last year and the opportunity for our teams to take advantage of it. So I would say the fundamental answer to your question is, look, this is about taking that low-cost liquidity coupled with our capital position and redeploying it into new relationship opportunities through lending money.
Andrew Liesch: Got it. You guys have highlighted market share gains as being the main driver of loan growth going forward. Is that still the case? Or is there -- or is there borrowing opportunities from your existing clients base now as of now?
Tim Laney: Well, all of us can share the details with you, but it's an important question because -- and I think this is probably pretty true industrywide. But if you look at where we're at on line draws, on the use of lines of credit revolvers, we're running -- all of you have the numbers in front of you. We're running that kind of historical lows. Now again, we're looking at these clients, and they're sitting there for a number of reasons with a lot of excess cash on their balance sheet, so you would expect that. But the upside, not just for us, but I think for the industry, is that there's -- as long as you're holding on to those clients and serving them well, there's just going to be, over time, a nice return to historical averages there. And so that's all upside.
Aldis Birkans: Right, Andrew, to Tim's point, our line utilization sits at all-time historical low, 54%. Our typical line draw is between 61%, 62%. And so there is about $60 million to, call it, $70 million of upside in loan outstanding if and when those drop those lines get drawn back up.
Tim Laney: Just in that one small category.
Andrew Liesch: That's great. Thank you for the color. I'll step back. Thanks.
Tim Laney: Thanks for the questions, Andrew.
Operator: Your next question comes from Andrew Terrell with Stephens. Your line is open.
Andrew Terrell: Hey good morning.
Tim Laney: Good morning.
Andrew Terrell: Tim, maybe kind of in the same vein of market share takeaway. I was hoping you could share just any success you've had this year in kind of the new hire front? And then maybe just discuss kind of what areas you're focused on hiring in and just how the overall kind of hiring pipeline is shaping up for 2021?
Tim Laney: Yes. I the message I would send to any interesting -- interested teams and bankers is if you're looking for a home, come and talk to us. If you're in the footprints, and you've got a track record of performance and want to be well rewarded, we're interested in talking to you. And frankly, if it's a team versus an individual that's even better. So I hope that message is delivered as loud and clear. Look, I do think the reality that we have to grapple with as an industry is that there's going to be a growing war for talent, so to speak. That's an overused phrase. But I think attracting and retaining strong bankers with proven track records in the small and midsized commercial markets, in particular, is -- it's going to be a challenge. And so we're spending more and more of our time developing our own bankers. We think that's important for the culture. I think it's important in terms of creating runway for young bankers and giving them opportunity for growth. But we're certainly more than happy, for example, to talk to teams, talk to bankers, particularly coming out of some of the larger financial institutions as they tend to migrate up in size of company they bank and almost abandon the lower mid- and smaller-sized companies. That's a market we are firmly focused on covering.
Andrew Terrell: Okay. And then just from, I guess, as you kind of lean back into your -- ease back into the market throughout this year. Just what have you seen so far from kind of a competition perspective from your peers? And specifically as it relates to the kind of pricing and how that's affecting the origination yields, but also any kind of compromise on structure you're seeing?
Tim Laney: Yes. I think an advantage we had coming into 2021, as you know, we've operated with a very low level of exposure to commercial real estate as a percentage of risk-based capital. And I think early on in this year, you've seen a lot of banks for various reasons backing off from that space. And while we're certainly not going to lean into areas like retail or office right now, we have been seeing some pretty interesting opportunities to pick up reasonable returns with very strong guarantors or sponsors in the commercial real estate space, a lot of strong equity, and that's been an area we've been willing to increase our exposure and feel good about that. But what's also interesting is, and a lot of this just is a direct result of our bankers getting back out into the marketplace, continuing to call on prospective clients. The reality is we're just seeing traction across a broad set of industries, all of our markets always believe they can be doing better than they are. But I've just got to say we're fortunate to be operating in very, very good markets that are, for the most part, meaningfully open at this point.
Andrew Terrell: Okay. Great. I appreciate you guys taking my question.
Tim Laney: Thank you.
Operator: And I'm showing we have no further questions at this time. I will now turn the call back to Mr. Laney for his closing remarks.
Tim Laney: Well, thank you, Mariama. And I do want to thank those that ask questions. Again, I think it was a very straightforward first quarter. Again, you've noted the optimism we have about not only the second quarter, but the ramp-up we see as we move through 2021. So we'll be focused on delivering against that, and look forward to talking to you next quarter. Thank you.
Operator: 